Operator: Good day, ladies and gentlemen, and welcome to the Q2 2013 Orion Marine Group, Inc Earnings Conference Call. My name is Sue, and I’ll be your operator today. At this time all participants are in listen-only mode. (Operator Instructions) I would like to turn the call over to Mr. Chris DeAlmeida, Vice President, Finance and Accounting. Please proceed, sir.
Chris DeAlmeida - Vice President, Finance & Accounting: Good morning and welcome to the Orion Marine Group’s second quarter 2013 earnings conference call. Joining me today are Mike Pearson, Orion Marine Group’s President and Chief Executive Officer, and Mark Stauffer, our Executive Vice President and Chief Financial Officer. Regarding the format of the call, we’ve allocated about 15 minutes for prepared remarks in which Mike and Mark will highlight our results for the quarter and update our market outlook. We’ll then open the call for sell-side analyst questions for the remainder of the time. We would ask that you limit your questions to one question and one follow-up before getting back in the queue. During the course of this conference call, we will make projections and other forward-looking statements regarding, among other things, our end markets, revenues, gross profit, gross margin, EBITDA, EBITDA margin, backlog, projects and negotiation and pending awards, as well as our estimates and assumptions regarding our future growth, EBITDA, EBITDA margin, gross margin, administrative expenses and capital expenditures. These statements are predictions that are subject to risks and uncertainties, including those described in our 10-K for 2012, that may cause actual results to differ materially from those statements. Moreover, past performance is not necessarily an indicator of future results. By providing this information, we undertake no obligation to update or revise any projections or forward-looking statements, whether as a result of new developments or otherwise. Also, please note that EBITDA and EBITDA margin are non-GAAP financial measures under the rules of the Securities and Exchange Commission, including Regulation G. Please refer to the reconciliation accompanying this earnings call available on our website, at www.orionmarinegroup.com, for comments on the use of non-GAAP financial measures as well as the applicable reconciliations to most comparable GAAP measures. Also, please refer to our earnings release issued this morning, August 1, 2013 and our quarterly and annual filings with the SEC, which are available on our website, for additional discussions of risk factors that could cause actual results to differ materially from our current expectations. With that I’ll turn the call over to Mike Pearson, President and CEO. Mike?
Mike Pearson – President and Chief Executive Officer: Thank you, Chris, and thanks for joining us this morning. Before we’d begin I would like to take a moment to thank our nearly 1200 co-workers for all their hard work and dedication to the company. Because of their talent and commitment we continue to see improving results in challenging market conditions. Now our second quarter results again reflect significant year-over-year increases in revenue, gross margin and EBITDA. As we look ahead, we remain encouraged with our long-term in market drivers and we’re confident in our long-term outlook. Today we’re tracking over $6 billion worth of bid opportunities over the next few years, and all of that 22% are federal projects, 29% are state, 19% are local and 30% are in the private sector. We continue to experience strong demand for our services from the private sector as we continue to bid on projects that involve the infrastructure improvements, replacements and new bills from multiple types of clients including the energy-related companies and private terminal operators. Additionally we expect to continue to see multiple opportunities from state governments related to transportation spending and environmental restoration and repairs. Today we’re working and bidding on several bridge projects and we remain optimistic about bridge related opportunities in the second half of 2013 and beyond. Also, we expect to see an increase in environmental restoration and repair related to the RESTORE Act over the long-term. Fines related to the RESTORE Act should be set by the end of 2013 and we expect to begin to see bid opportunities at some point in 2014. Despite the passage of a continuing resolution in March, the Army Corps of Engineers’ lettings have remained uncertain. Now as we get near the end of the fiscal year, there have been some developments from Washington on the passage of the full year corers, but last month the House of Representatives passed an Energy and Water Appropriations Bill for the upcoming fiscal year. And this included increased funding for the corers operation and maintenance budget and that’s where we see the majority of our bid opportunities arise from. The bills been placed on the Senate Legislative Calendar and it awaits actions there. Now, while the bill is still a long way from being signed in the wall, we’re hopeful that the core may operate under a full budget for fiscal year 2014. We’re also closely tracking developments related to the Water Resources Development Act of 2013 and this was passed by the Senate in May. The legislation would authorize but not fund the Army Corps of Engineers to construct projects to restore, develop and protect the nations various water ways. The bill now awaits action and the house representatives, where we require brought by participant support in order to be passed. This word of legislation also includes language similar to the RAMP Act to correct the funding gap between the Harbor Maintenance Trust Fund, Receipts and Expenditures for dredging projects. Now, while the Harbor Maintenance Trust Fund Legislation may or may not be additive to the corers budget, we believe it’s a very important step towards achieving self-funding of the maintenance of the nations water ways. Additionally we expect to continue to see the benefits of increased port infrastructure spending during 2013 and beyond as the United States continues to see sustained increases of levels in both exports and imports. In closing, the gradual improvement at both market conditions and financial results gives us confidence in the future. Our plan is working and we’re seeing benefits from the altered pricing strategy that we previously implemented. Our specialized workforce, our fleet of equipment and market fundamentals gives us confidence that we can find success in today’s market. We are pleased with our end market drivers and we believe significant opportunities for continued growth exist. We’re eager to see sustained profitable results and get back to the profits that we enjoyed a few years ago. With that, I’ll turn the call over to Mark Stauffer, to discuss our financial results in more detail. Mark?
Mark Stauffer - Executive Vice President and Chief Financial Officer.: Thanks, Mike and thank you for joining us. For the second quarter of 2013, we reported a net income of $230,000 or $0.01 per diluted share which compares with net loss of $5.4 million or $0.20 per diluted share in the prior year period. Our second quarter contract revenue increased 25% year-over-year to $84.1 million of which 42% was generated from federal, state and local government agencies and 58% from the private sector. This compares to 52% from federal, state and local government agencies and 48% from the private sector in the prior year period. During the second quarter, we bid on approximately $440 million worth of opportunities and we’re successful on approximately $177 million. The 40% win-rate achieved during the second quarter was higher than our historical average due to the timing of the award of several large private sector jobs. This high success rate pushed our backlog to $243.9 million which is our highest level of reported backlog since the first quarter of 2010. As of June 30, 2013 backlog of 19% is for federal projects, 7% is for state projects, 16% is for local projects and 58% is in the private sector. Additionally we currently have a $180 million worth of bids outstanding, including approximately $67 million worth of work on which we are the apparent low bidder. Our results in the second quarter improved as compared to the first quarter of 2013, due to improved asset utilization including in the dredging fleet and solid job execution. This led to a gross margin percentage improvement from 7.8% in the first quarter of 2013 to 9.3% in the second quarter. Turning to the balance sheet, during the second quarter we maintained a solid cash position and we ended the quarter with approximately $40.6 million in cash. At the end of the quarter, we had term debt outstanding of $9.3 million and access to $34 million under our revolving line of credit. Additionally our bonding program remains solid and is more than adequate to support our bid activities and we continue to enjoy excellent relationship with both our lender and surety. Overall, we are pleased with and remain focused on maintaining a strong balance sheet. There are positive long-term momentum drivers occurring that gives us confidence in the future. As we mentioned previously, we are seeing some pockets of pricing improvement. With that being said the pricing improvement is not widespread and it will take some time to see the full impact in our results. Additionally, some of the recent backlog we have booked extends beyond 2013. Also core lettings continue to be choppy as we near the end of the government’s fiscal year, NOI clarity on fiscal year 2014. As a result, we believe gross margin improvement from the second quarter through the remainder of 2013 will remain minimal. With that said we are pleased with the results for the second quarter and expect to continue to see positive results this year. We are optimistic that the bidding environment will continue to be strong as we move through 2013 and into 2014, with the private sector remaining a strong source of bid opportunities, the potential for continued solid equipment utilization exists. 2013 has shown that our plan is working and we are on the right path, we are excited about the opportunities in front of us and we are confident and thanks to the dedication of all our harken employees, we can succeed and meet the demands of our customers while returning value to shareholders. We believe our specialized fleet, workforce and support facilities position us to be a leader in the market for the foreseeable future. With that, I’ll turn the call back to Chris to begin the Q&A portion of the call.
Chris DeAlmeida - Vice President, Finance & Accounting: Thank you, Mark and Mike. We would now like to open up the call for questions. And now would you please review the procedures for placing a question.
Operator: Thank you, Chris. (Operator Instructions) And the first line of question comes from the line of Scott Levine from Imperial Capital. Please go ahead and ask your question.
Scott Levine - Imperial Capital: Hi good morning guys.
Mark Stauffer: Good morning.
Mike Pearson: Good morning Scott.
Scott Levine - Imperial Capital: So it’s a very nice bookings on the quarter and as you pointed out your win-rate higher than normal, it sounded like you’re pushing the envelop on pricing here and there on the first quarter and there were resistance, wondering if you could comment on the win-rate and whether you guys change your strategy to all in accordance with market conditions or, does the win-rate really just reflect circumstance and some of these large project wins and whether you’re bidding strategy going forward remains relatively consistent with what’s its been looking backwards last few quarters/
Mark Stauffer: Well, Scott we always look for opportunities to push that and as you pointed out, we pushed bid margin in the first quarter we had met with limited success, but again as we said we are seeing pockets of improvement. So, I think it’s fair to say that, we’re constantly adjusting the pricing strategy in areas where we did meet resistance, we did readjust to kind of levels that we think it takes to win work. But there are - there are pockets where we’re able to - to improve bidding margins and where we see those we take them. So I think overall we’re pleased with, the progress that we have seen again as we said it’s not widespread at this point. But we’re going to continue along with testing where we can and, and keeping it where we think it needs to be in areas where we’re not seeing as much improvement.
Mike Pearson: Scott, just to follow on to that, we haven’t seen bid margins push any lower than they previous had, we just haven’t been able to up-tick them like we would like to - to see at this point?
Scott Levine - Imperial Capital: Got you. And then maybe as a follow-on with regard to the back-half of the year, I think you’d indicated that, that you didn’t expect to see gross margins improved much from here and at some of your recently won work is, as a 2014 burn rate on it, maybe if you could elaborate, is that a function of utilization rates that you expect there and maybe just a bit more color on the margins you work in backlog and you know if I can get a sense of whether margins likely move up in 2014 based on the terms of work that you’ve recently won with the longer tail?
Mark Stauffer: Sure. Yeah, I think again given the fact that some of the work that we have recently booked moves into 2014, we do still have, some equipment utilization that we need to book for the balance of 2013. Again, I think going back to the - the answer of your first question, we’re hopeful that we can continue to see improvement we’re hopeful that we can see more the kind of the pockets of improvement in pricing that we have seen, expand as we move into 2014 obviously we’ll have to continue to monitor that. And I think the other key thing too is that they will be looking to see is, how is this budget process workout for the Corp Engineers, obviously that, what we would like to see is a budget for them in place by October 1 that’s the ideal circumstance for us, if we start getting into short-term continuing resolutions that’s more problematic. So that’s another thing that we’ll be watching for - we commented that on that in the remarks. And but, given that, if we see improvement there, again we continue to see a lot of that activity to bid on we’re hopeful that we can improve in 2014 over what - what we’re doing this year.
Scott Levine - Imperial Capital: Sounds good. Congratulations for the quarter.
Mark Stauffer: Thank you.
Operator: Thank you for your question. The next question comes from the line of Jon Tanwanteng of CJS Securities. Please proceed.
Jon Tanwanteng - CJS Securities: Good morning guys, thanks for taking my questions.
Mark Stauffer: Good morning Jon.
Mike Pearson: Good morning Jon.
Jon Tanwanteng - CJS Securities: Just a clarification, are you seeing any acceleration to bid margin improvement at all, it seems the languages are little bit better in the press release and previously or is it that same steady slow pace that you’ve kind of experienced in the past three or four quarters or so?
Mike Pearson: Well its been, steadily improving and the important thing is, we believe last quarter we kind of bottomed out on seeing unreasonable pricing from some of our competitors and its important to realize its going to take some time to improve bid margins that are in our backlog to show up in the financial result, so its going to be phased out going forward. And but, margins for remainder of the year should be similar.
Jon Tanwanteng - CJS Securities: Okay, thanks. And then can you provide a little bit more insight to the - the percentage of the backlog that you expect to follow in 2014 and maybe how that compares to a year ago?
Mark Stauffer: Yeah I mean Jon as we look out there are significant portion of the backlog that does move into 2014, we don’t want to give that’s how is specific guidance, but its fair to say that, over 40% of that backlog kind of moves into next year.
Jon Tanwanteng - CJS Securities: Okay thanks. And then on the charging side, we’ve been taking up news that there is some projects out in the northeast that aren’t even getting any bids, presumably because they are doing, is it repair work, I’m just wondering how that, impacts your free utilization and perhaps pricing and margins in the second half on the dredging side maybe even to next year/
Mike Pearson: Its really not any impact for us, we’re not in that area right now with our equipment, but we have been monitoring the bids that have come out so far there haven’t been that many bids hit the street. And, it takes time for those posts to hurricane funds to get disbursed. I think might be half a dozen projects in varying sizes come out so far, but I don’t think that’s going to have any real impact on us, the pace of that.
Mark Stauffer: Well they could, well that potentially, we could and we will be monitoring this, we kind of had said this before and is it that to a extent that pulls capacity that otherwise might be in areas that we would looking at that would be the impact on us. And we’ll continue to monitor that.
Jon Tanwanteng - CJS Securities: Okay, have you seen any evidence of that so far?
Mark Stauffer: Not so far.
Jon Tanwanteng - CJS Securities: On a capacity way.
Mark Stauffer: No.
Mike Pearson: No I think is just absorbing capacity that’s in the region out there right now.
Jon Tanwanteng - CJS Securities: Okay, got it. And then one final one, how long do you think the cycle for I guess oil and gas spend in the private sector will last, I think there seems to be even more derivative projects being started up now on the Petrochem side and in manufacturing, any color on that would be appreciated?
Mike Pearson: I think oil and gas demand is going to continue for quite sometime in the long-term, I mean all the fundamentals are in place the - the price of oil has been holding, strong and there is just a lot more demand that’s going to go up the growth curve both internal consumption domestic and now exports, particularly with the gas. I think exports in LNG and CNG we’re going to see take hold.
Jon Tanwanteng - CJS Securities: Okay, thank you very much.
Mark Stauffer: You bet.
Operator: Thank you for your question. And the last question in the queue comes from Min Cho of FBR. Please proceed sir.
Min Cho - FBR: Great, thank you and good morning guys.
Mike Pearson: Good morning Min.
Min Cho - FBR: Just a couple of quick questions here, in terms of the 58% of backlog that’s time to the private sector, can you talk about what percentage of that is from kind of larger turnkey type of projects and what the general trend is, on your turnkey kind of opportunities and implications to - to your overall business and to margins. And then secondly if you could just talk a little bit about the integration of West acquisition and was there any backlog from Alaska this quarter, can you just talk about the opportunities staying there as well?
Mark Stauffer: Yeah I think, yeah in the 58% taken in kind of an order of the 58% of private sector work there are turnkey a significant amount of turnkey opportunities in there, well there are lot of opportunities at this point they are booked work. But that is something that we have seen, with these, the demand of the private sector and what we’ve talked about there, a lot of these projects are sort of the turnkey type opportunities that include a lot of our services including the construction assets, dredging assets. And so, those clearly are things that we look for, we believe that the more services that we have kind of in our portfolio that we can bring to bear on a project, the more competitive it makes in winning the work and, we think that it provides the opportunity for us to have better results than if they were not turnkey, just bringing all that stuff together and doing it ourselves and executing it ourselves, should provide better margins for us in a project that is piece filled out so to speak. So that’s a fair point there, on with respect to the West integration that’s going well and yes there - included in the backlog that we reported out are a number of projects that we’ve picked up out of the - that office.
Min Cho - FBR: Okay.
Mike Pearson: You know, I think its been very important with the oil and gas part of the private sector that they are more a custom to deal in with one contractor handling big jobs and that’s I think one of the things we have in advantage Cho, that there is very few companies doing our type work that can provide all the services in one contract. So you didn’t account that just on hand and you know I think it puts us in a great position and we’ve been able to leverage that.
Min Cho - FBR: Okay. And in the past Mike I believe that you talked about opportunity in Canada especially on oil and gas side. Can you just, give any type of update there and maybe any potential timing on some orders there
Mike Pearson: Yeah we’ve been actively pursuing projects out there and there is a lot of discussion about using the British Columbia seaboard as a means of exporting Canadian oil sands and I know Kinder Morgan has been very active in that, they’re building pipelines as we speak that over towards Vancouver and up in Kitimat and we’ve certainly then following that and providing quotations where requested, its going to take a few years for that to really materialize about permitting the issues, environmental issues that have to be overcome, but there is no doubt that there is great support out there for export of those type products as opposed to, the difficult that we’ve seen with like the keystone pipeline here in the states. So I think that could be an important area for us. We do have Canadian flag vessels that could go in there and do some of that work and I think between our Pacific Northwest operation in Tacoma and the anchorage operation up in Alaska. We’re well suited to participate in some of those bed so we’re following it very closely and our models for that, a lot of those projects are overseen right here in Houston in the oil and gas industry.
Min Cho - FBR: All right great, thank you.
Mark Stauffer: You bet.
Operator: Thank you for your question. (Operator Instructions) And the next side of question comes from Cory Mitchell of D.A. Davidson
Cory Mitchell - D.A. Davidson: Hi good morning.
Mark Stauffer: Good morning.
Mike Pearson: Good morning Cory.
Cory Mitchell - D.A. Davidson: I’m curious to what you guys are seeing on federal spending, especially relative to what you’re seeing last quarter and what your expectations were and then also to follow-on the oil and gas questions, have you guys seen any benefit from the LNG, GTL chemical build-out yet, I mean even if its just tighter capacity?
Mike Pearson: Okay. Let me take the last one first, because LNG right now there is about 14 applicants trying to get LNG export facilities approve, so far Chesapeake is at top of the list and they have a facility in place its been importing and they are just looking at reverse and flow. That permitting process is going to take some time to get through, but its underway and 14 LNG terminals is hector lot of work, how many of those succeed, I can’t say at this point, but into one they were watching and we’re certainly interested in bidding on those type of projects. We have the capacity to do that. One the federal spending I think, a lot rides around what Congress is going to do here, with this September 30, deadline are we going to see a continuing resolution or we’re going to get four years federal funding for dredging work. That’s really the thing that we’re sitting on edge of our seats waiting to see and it was nice to have a six month continued resolution which kind of popped up our activity a bid. But we really need, a year at a time as a minimum for some stability and all I can say is that I’m very encouraged with a word of build, the Harbor Maintenance Trust Fund and Restore Act those are great drivers for our business, but we’re fixing them undergo a pretty - a pretty hot debate over the budget it looks like here in the next couple of months.
Cory Mitchell - D.A. Davidson: Okay thank you.
Operator: Thank you for your question. There are no further questions in the queue at this time. I would like to now turn the call over to Chris DeAlmeida for closing remarks. Thank you.
Chris DeAlmeida - Vice President, Finance & Accounting: Thank you, M.S. On behalf of Orion Marine Group I’d like to thank you for taking the time to talk to us this morning. And we look forward to speaking with you next quarter. Also if you have any follow-up questions, please feel free to give Drew and myself a call. Thanks and have a good day.
Operator: Thank you. Thank you for your participation in today’s call. This concludes the presentation. You may now disconnect. Good day.